Irakli Gilauri: Good morning and welcome to Q3 earnings call. Thanks, everybody, for joining and finding time. Today, we are going to talk about the 5 different topics. First of all, I'll talk about the key developments and in our -- in Q3. We'll talk about the performance of Q3 and 9 months. Then we will have our portfolio companies, CEOs talking about their respective large portfolio -- large company performance. As you saw, the numbers are staggering. It's really top performance our CEOs are showing, and it will be good to discuss with them outlook as well. Giorgi, our CFO, will talk about the portfolio company valuation and liquidity and dividend outlook. And in the end, I'll do the wrap-up and followed by the Q&A session. So let me start with the highlights. So NAV per share in quarter, it grew nearly 8%, excellent performance, both by Lion Finance Group share price performance. But most importantly, our private large portfolio company showed an excellent operating performance, and they continue to deliver staggering results, 30% -- nearly 30% EBITDA growth in Q3. And it's been a 9 months performance been also 30-plus. So that's kind of one of the [indiscernible] large portfolio companies. [indiscernible] our goal is to be a debt-free at GCAP level. $50 million is really a very small debt for us, but we still want to do debt-free holdco. In terms of the NCC ratio, we improved to 5.4%. That's another kind of a good development. We continue to buy back our shares. 1.4 million shares was bought back in Q3. In total, 15.2 million shares we bought for $221 million looking at the average price, what we have bought, the 15.2 million shares is really a big value creation we created by the buyback. So that's kind of another reason to like or love buybacks. We did -- our healthcare group did the acquisition, bolt-on acquisition, a small one, but we like the pricing and we like the momentum that our management is delivering. They have been delivering excellent performance, operating performance. And I think it's a great platform for us to invest more money to make -- to grow our business even further. And I think that was kind of [indiscernible] what our management has executed. We also entered the MSCI index [indiscernible] index, which played a positive role in the [indiscernible] share price -- of our shares in general, sorry. Let me give you an overlook of the progress of the GEL 700 million capital return program, which we announced in August this year. Nearly half of this program is done, $100 million is the paydown of the debt and out of $50 million, nearly $26 million we already executed in buybacks, and we continue to execute on the remaining $24 million. Now the -- so you see on the next slide, the progress. And you see that after delivering of $50 million buyback, only GEL 300 million will be left to return to the shareholders. So it's kind of -- we are moving in a very lightening progress on this [indiscernible] 1.5 years earlier. It seems like we'll be delivering this capital return program earlier than we anticipated in the beginning. I want to just highlight this, Giorgi, our CFO, put this slide together, and I like this slide because it's kind of reflects on the ownership of GCAP shares. So by holding the 100 GCAP shares -- sorry, ownership of the Bank of Georgia shares through GCAP. So if you hold the 100% GCAP shares, you used to hold 20.4 Bank of Georgia shares. in December 2020 for instance. And that has changed over time. And now it's actually you hold more 21.8 shares, which reflects the -- reflects our buybacks basically. And in reality, we did sell down a little bit Bank of Georgia because of the PFIC's reasons. But at the same time, by buying back GCAP shares, we actually didn't really change much the ownership of the Bank of Georgia's shares through GCAP. So that's kind of reflects that we have -- our shareholders have a good exposure on Bank of Georgia performance. I want to update now on the capital market [indiscernible] has been generating in the local market, and we are more and more relying on the exits or capital raising -- the capital raising on the local market, and we like this fact very much. For instance, GEL 350 million of debt in was raised by our health care group at 3.75% margin. That is kind of the 5-year maturity and the funds [indiscernible] our health care [indiscernible] out what the health care business did. On the other hand, our hospitality business issued very small bond on one of our hotels, which we sold most of the other hotels, but we have one hotel remaining in Gudauri ski resort. And we think it's a good asset, and we think we want to sell it at a good price. So we are not in a rush here, and we decided to raise a $10 million bond. It's a small bond, but it actually reflects well that we can -- even small businesses can access the capital markets locally. So this is an acquisition earlier I talked about the health care business, bolt-on acquisition. We bought -- it's less than 4x EBITDA -- forward-looking EBITDA, this business, and we think that integration and synergies, I mean, I think that the 4x is a safe way to assume that we can achieve the 4x for next year. Now the economy continues to perform extremely well in every sense. One thing which needs to be highlighted is the National Bank reserves, which have been accumulating pretty fast. In the past 3 quarters, GEL 1.5 billion unprecedented interventions and the National Bank [indiscernible] bought the $1.5 billion of reserves. And now it's a record high at $5.4 billion international reserves. So in terms of the GDP growth, we see [indiscernible] higher growth than the IMF does. So let me talk about the NAV development, NAV per share development. So 7.9% increase was mainly driven by Bank of Georgia share price increase and the operating performance of our large portfolio companies. The good thing that we haven't changed anything on the multiple side. So we had a 4.6 percentage point gain on Bank of Georgia and 2.8 percentage point gain on operating performance of all our large companies. So then we had buybacks at 1.2 percentage point positive impact. Emerging and other portfolio companies also contributed positively at nearly 0.5%. Operating performance was minus 0.2% and other was 0.9 percentage points. This mainly reflects the litigation case -- legacy litigation case, what we had in the past, which has been now done and over. In terms of -- on Slide 12, you see NAV growth over the [indiscernible] past 3 years, we have achieved 33%; 5 years, 29% COG and 18% CAGR we have achieved since the GCAP inception. So 18% is needs to be improved for sure, but we are very happy with 3% and 5% NAV COG growth for sure. In terms of the free cash flow, [indiscernible] Slide 13, you see that after the paydown of debt, our pro forma free cash flow increased from $48 million in '24 to $63 million. So -- but the growth is even more attractive per share basis because we were buying back the shares meanwhile. So per share, our free cash flow has increased by 45.6%, [indiscernible] important we are not tiring of talking about the buybacks. And we have bought back 15 million shares plus with $221 million. And now we are at 35.4 million shares, all-time low number of shares. We are really fighting the share count. We like the share count [indiscernible] discount and where we are. Now let [indiscernible] revenue is up -- on Slide 16. Revenue is up 13.5% in Q3. 9 months is 16.2% increase. Q3 EBITDA 29.5% increase and 9 months, 34%. So really, this continues the high growth momentum, and we are happy that our management of portfolio companies are delivering, and I will talk about why they are so good later on. Here, you see the cash flow development, same growth, high growth here. In the 9 months, we have 20.7% free cash flow growth. In Q3, we had 3.7%, which will -- in Q4, we will most likely see a way higher growth in cash flow as we will have more cash coming in pre-Christmas. And you have aggregate cash balances also growing of our portfolio companies stands at GEL 250 million. Now on NCC development, we have as I said, we have 5.4% NCC, which has been decreased nearly 3x over the year. One thing which we need to highlight that our contingency liquidity buffer of $50 million will be decreased due to this litigation case is over. Also, the debt levels in GCAP has decreased and our portfolio companies are a very healthy leverage ratio. So we don't need to have such a huge liquidity buffer of $50 million in Q4 [indiscernible] substantially. NCC ratio development here, you see that's coming down and we were at a record 42.5%, and we are at 5.4% of that. It's a nice development. It's along with our announced strategy of delevering the GCAP. Now let me hand over to the Retail Pharmacy CEO, Tornike, who will talk about the performance of our retail pharmacy business. And then we will have the insurance company CEO, Giorgi [indiscernible], talking about insurance and then Irakli Gilauri, CEO of Healthcare business, who will talk about the developments in health care business.
Tornike Nikolaishvili: Hello, everyone. I'm pleased to share a brief business overview and update on the performance of our retail pharmacy business for the third quarter and 9 months of 2025. Let me remind that our business consists of 3 main directions: retail, wholesale business and international operations. Retail business is our core, generating around 75% of our revenue. Wholesale business is our biggest focus for growth. And in international, we are, let's say, in a start-up mode, believing to expand further in the region. We have a unique category structure in retail, having around 50% share of non-medication versus med category. So non-med category can be described by higher margins and no price regulation risks. Based on 2023 figures, we continue to be the largest player in the retail pharmacy market in Georgia with around 36% market share in organized trade. We are operating under 2 well-positioned retail brands, GPC, which targets the high-end segment and Pharmadepot serving the mass market. We also operate 2 franchise brands, the Bodyshop and Alain Afflelou (Optics) and are active in Armenia and in Azerbaijan as well. We expanded our network by 8 new pharmacies added in Q3, including 1 additional in Armenia, most of them in cost-efficient formats that require limited capital. So as of September 2025, we operate 438 pharmacies. So in terms of -- in the next slide, please, in terms of operating performance, our retail revenue grew by 6.1% in 9 months and 7.5% in quarter 3, respectively, supported by same-store growth of 5.3% and 6.6% in 9 months and quarter 3. This was despite the exit from our textile retail business, which slightly affected the headline growth. We are encouraged by this trend as it reflects healthy consumer demand and solid in-store execution. As in Q2, we continued strong growth on the wholesale side. Revenue grew by 33% as we continue to deliver on our strategic focus to grow in wholesale. It was achieved across all wholesale channels, mainly driven by increased product availability. So we also increased the average bill size around -- by around 10% year-over-year and gross profit margins improved to record high 33.4% in quarter 3, driven by a better sales mix and improved supplier terms. So on the next slide, let me share how it's translated in financial performance. So EBITDA grew by 30.6% in 9 months. We reached record high GEL 73.7 million. And in quarter 3 alone, EBITDA grew by 18%. And cash conversion from EBITDA is back on 90% plus threshold for 9 months due to strong quarter 3 performance. From a balance sheet standpoint, we remain cautious and disciplined. Our adjusted net debt to LTM EBITDA continued to improve, reaching 1.3x, which is below our target ceiling of 1.5x. We also distributed GEL 10 million in dividends during the quarter. In addition, we plan to distribute GEL 15 million dividends in quarter 4. Thus, in total, the dividend for the year will be GEL 35 million, reflecting confidence in our cash flow and overall financial health. So on the next and last slide, let me summarize. We have maintained solid revenue momentum, especially with same-store sales growth and strong wholesale results. Profitability has improved, supported by gross profit margin improvement and prudent cost discipline. Leverage remains at a healthy level, giving us flexibility for future investments and shareholder returns. Thank you again for your time. I'm happy to take your questions during Q&A session. Now let me hand over to Giorgi [indiscernible].
Unknown Executive: Thank you, Tornike. Hello, ladies and gentlemen. I will overview the insurance business today. Our insurance business comprises of 2 main business lines that we divide its property and casualty that is run under the brand name of Aldagi and we run another line of business, the main line of business, medical insurance under the meds brand of Imedi L and the medium to upper affluent brand under the name of Ardi. I would like to underline that Q3 was a record high, and I would say the record high during the existence of the insurance business in GCAP, and I will dive you in both business lines separately. So to go to the insurance revenues, our insurance revenue grew by 9% and 9 months over 9 months, the growth was almost 30%. Our pretax profit grew even more by 22% and 9 months over 9 months grew by 23%. Just a quick update on the key operating data. We have a growth of 11% in net premium written, while our P&C business grew by 14%, while the medical grew by 8%. Going forward into the separate slides and separate business lines. There are -- at this point, there are 19 insurance companies operating on the territory of Georgia and ALDAGI, our P&C business line -- business provider is the undisputed leader with 35% of market share with the closest captive company with 23%. So there's quite a big difference between the second player and ALDAGI. We had an amazing growth in insurance revenues of 16% Q-over-Q and almost more than 20% 9 months over 9 months. The main expansion was driven by the retail motor portfolio as retail remains a key strategic focus on our agenda together with the credit life insurance. The good point is that our net profits -- our pretax profit grew even more than the revenues that underlines our healthy portfolios and the disciplined underwriting. The pretax profit grew by 23% and that translates into the record high ROEs of more than 40%. That is a historic high that we never envisaged. Key operating data, net premiums written grew by 14%, as I have already mentioned. And the good point is that the combined ratios were improved by almost 1.1 points, driving it down -- they're dragging it down to 83%. Individual insurance grew by 14%, while the insurance written policies grew by 13%. The renewal rate stays still very high and promising at 75%. The good point to just -- again to underline is the good accomplishment that I would like to underline is the combined ratio that is mainly driven by the improved loss ratios in the corporate motor segment that was announced last year that we will be eliminating loss-making clients and dragging down the combined ratio. So the moves that we put into life are effective, and we are really happy with the management and the actions that they took -- they put into life and our combined ratios are in our target of 85% to them in the medium term. Going to the health insurance, we had also another record high health insurance quarter in terms of the profitability, even though the revenue in Q3 was minor because of elimination of a few big loss-making clients and a few state tenders that we didn't participate in. But going forward, we think that Q4 will be -- will return to double-digit growth. 9 months over 9 months was about 40% growth in health insurance. The actions that we put on in Life was mainly reflects the loss ratio improvement by 1.3%, and we had an 18% record high increase also in single quarter of 18% for the single policy issued. Pretax profit grew at 15%. That translates into record high ROEs of about 38%. Key operating metrics, net premiums written grew by 8%. Combined ratios went down, and that is -- I'm happy that it is because of the eliminating loss-making clients in Q3 and not participating in a few big state tenders, putting down our combined ratio by 1 point. Individual insurers are a bit down because of not participating in the state tenders, while the corporate segment grew by 17%, I mean, direct insurance. The renewal rate still remains very strong at 80%, which is considered very high and very strong in the health insurance. Both brands are doing very well. Ardi has launched our higher affluent brand has launched the new application, the new digital solutions and Imedi L also has launched the new updates for the web that was translated into 73% of the digital bookings putting down -- bringing down the costs and affecting our combined ratio. That is in line with our digitalization of all brands, all 3 brands in total. So going forward and a few words, the medical insurance still also remains the leader on the market. We hold about 32% of the market share that is in line in the appetite of 30% to 35% of targeted market. Going forward, and a few words to remember about Q3. We had an outstanding performance in both P&C and medical insurance, resulting in record high profit and all-time high ROEs of 40% -- more than 40% in P&C and almost 40% in health insurance. We had an exceptional result in motor insurance, especially the corporate motor that underlines again the healthy underwriting and the healthy portfolios in the middle of our operating principle. New brand identity was launched for the -- and transformation was done in both brands of health insurance, Imedi and Ardi and the new digital solutions were also launched in both health insurance lines. We paid almost GEL 2 million in Q3, translating into GEL 15.6 million and more cash to come to GCAP in Q4. The expectations are very good and very promising. We are hoping for even better Q4 and in both P&C and health insurance throughout all 3 insurance companies in revenues and in profits. So that was in short about the health and P&C business, insurance business. And let's wait for the Q4. I do hope that it will be much better. Thank you. And I'll pass the floor to Irakli Gilauri, who will underline our Healthcare business.
Irakli Gilauri: Hello, everyone. I will walk you through Healthcare Services business latest results. I'm very pleased to report another strong quarter. We continued our focus on the outpatient direction by attracting new doctors and diversifying our services. We also optimized our revenue mix and improved patient retention. As a result, our outpatient revenue grew by 28% year-over-year in third quarter and share of outpatient revenues grew further by 2.4 percentage points from 40.8% to 43.2%. We launched new services in several hospitals and clinics addressing previously underserved medical needs. This includes the introduction of our arthroscopy sports medicine, gynecology and interventional cardiology in several hospitals. Our initiatives helped us to deliver 20% revenue growth with our EBITDA growing by 46% in Q3 and EBITDA margin surpassing 19% as well. Our last 12 months EBITDA reached GEL 89 million, up from GEL 58 million from September 2024 result, which led to net debt-to-EBITDA decrease from 5x to 3.8x. On the next slide, in our hospitals business, in third quarter 2025, we delivered revenue growth of 19% and EBITDA growth of 44%. Operating cash flows grew by 39% during 9 months of 2025. And we think that Q4 cash conversion will be very decent. Occupancy rates increased by 8.5 percentage points during the same period, while the average length of stay decreased by 0.3 days as a result of our efficiency-focused initiatives. On the next slide, in the polyclinics business, number of admissions increased by 8%, while number of tests performed in our Diagnostics business increased by 15%. This resulted in revenue growth of 26% and EBITDA growth of 55%. In Diagnostics business, we still operate at below 50% capacity and intend to increase our utilization significantly going forward. On the next slide, we signed a binding agreement to acquire Gormed, a regional health care network with 3 clinics and -- in the Central Georgia. The transaction is subject to approval by the competition agency. Gormed covers 3 cities with combined population of circa 300,000 people with 80,000 registered patients. Most notably, we entered Gori, Georgia's fifth largest city. Through this acquisition, we are strengthening our regional network in Southern and Central Georgia, enhancing our patient referrals and optimizing staff utilization across 7 interconnected clinics. In 2 cities, the Gormed was our only competitor pressuring our margins, and the acquisition will enable us to merge the 2 hospitals and extract synergies and increase effectiveness. The acquisition offers 2026 EBITDA multiple of under 4x we expect an improvement of 0.6 percentage points in annualized ROIC on the Healthcare Services business level, demonstrating our continued focus on shareholder value creation. That concludes my part of the presentation, and I will hand over to Giorgi Alpaidze.
Giorgi Alpaidze: Thank you, Irakli. Hello, everyone. I will briefly take you through what these excellent results mean for GCAP's balance sheet and our NAV statement. So starting with the overview, we updated the valuations based on the internal valuation mechanisms. This is in line with what our independent third-party valuation company Kroll does every 6 months. So this time, we looked at the DCFs, we looked at how the projections that were set forth at the 6 months period, the results were actually delivered over -- in the third quarter. And overwhelmingly, all our large portfolio companies actually delivered higher EBITDA, higher revenues than what we were projecting at the end of June. This has helped us create value across the board. Briefly in the overall overview, we did have a little bit of sales in the Lion Finance Group shares, but still it continues to be the largest investment that we have on our NAV. It was 47% of our portfolio. Within the private portfolio investments, retail pharmacy was the largest business, followed by health care services and the insurance business. On the next slide, you will see that the multiple development in the third quarter was pretty much in line with the multiples at the end of the second quarter with only small minor increase in insurance, but it was broadly in line. On the next slide, you will see that how these multiples affected the portfolio value development. So overall, the portfolio value increased by GEL 100 million. However, it was a result of many movements. In the Lion Finance Group, you see this decrease, but that was because of the dividends that we received in the quarter, which was actually a combination of the full year dividends of 2024 plus the interim dividends where the ex-dividend date actually fell in September. So we had to record those dividends in the third quarter as well. And also the sales where we sold about 600,000 shares of Lion Finance Group that also resulted in the decrease of the stake. But overall, we recorded gains in the Lion Finance Group. In the private portfolio, the excellent growth meant that the retail pharmacy business contributed about GEL 51 million to our P&L. That includes the value creation within the business, but also the dividends that they paid us. That was followed by Healthcare Services business at GEL 40 million and insurance at GEL 36 million. Now on the next slide, you will see how these value creation is translated into the new portfolio values or the latest portfolio valuations for each business. Within Retail Pharmacy, the EBITDA growth that Tornike spoke about was GEL 42 million P&L impact for GCAP that was driven by EBITDA and additional GEL 4 million from the positive net debt change where the net debt improved, notwithstanding the GEL 10 million dividends that they paid us. So that's how we get to overall about GEL 50 million profit within our third quarter NAV statement from retail pharmacy. In insurance, we also had a 5.1% growth because of the growth in the net income, which you saw on the previous slides across the board in P&C insurance and the medical insurance that was also supported by the net debt change. And overall, this value was created by the net income growth and the strong cash flow performance. In the Healthcare Services business, EBITDA growth delivered GEL 60 million. That was partially offset by the cash conversion as the operating cash conversion in the third quarter was relatively low that we expect to recover, as Irakli mentioned earlier, in the fourth quarter. So we would expect this net debt change to be reversed as we go into the fourth quarter. But overall, the Healthcare business did deliver about GEL 40 million value creation for us. Now this concludes the valuations and briefly into the liquidity. Our liquidity continues to be very strong even as the gross debt balance that we have carried, as you can see on the top of this chart, has been reducing over time. Despite that, our liquidity has increased. We finished the quarter with $77 million worth of liquidity, which for the first time since GCAP's demerger from Bank of Georgia Group, we actually had a positive net cash balance given that our gross debt is only $20 million, we were actually negative net debt or net cash of $27 million. And then now on the next slide, we are now projecting the increase in our dividend inflows from previous GEL 180 million. We now expect GEL 200 million, around circa GEL 200 million. We have so far collected, as you see on the slide, GEL 168 million, but as it was mentioned earlier by the private portfolio companies, we expect to get more dividends from the pharmacy business as well as from the insurance business. And on top, our other portfolio companies, renewable energy and the auto services will be also paying us more dividends, which we think in the fourth quarter will bring the full year to GEL 200 million dividends. What's important here, I would highlight that on a per share basis, given the number of shares that we bought back this year, which is more than 10% so far, this means that we will be having about 31% growth on a per share basis in terms of the dividend inflows per share. That concludes my presentation and over to Irakli for the wrap-up of this excellent set of results.
Irakli Gilauri: Thank you, Giorgi. So I will not repeat all the points what we have here. But basically, I think the short summary is that we have excellent performance and team is delivering. Q4 outlook is also looks positive. Economies continues to grow. Our companies continue to deliver. So let's move on the Q&A session.
Operator: [Operator Instructions] So as I see, we have first question from Dmitry. Dmitry?
Dmitry Vlasov: Congratulations on a really good set of results. I have 4 questions, please. The first one is on the ongoing capital allocation. You did great progress for your GEL 700 million. You paid down a good amount of debt. And now my question is about the priority between buybacks and debt maybe for the next 10 months. What should we expect? What would be the priority for you? Would it be buyback or debt? That's the first.
Irakli Gilauri: Thanks, Dmitry. I think that even the fact that the leverage is really low level [indiscernible] our priority is buyback, especially at the current NAV discount level. So that's clearly a buyback at this discount level for sure.
Dmitry Vlasov: Got it. And the second question is about Lion Finance Group. I understand that's your key holding and pays you very good dividends. But maybe in the near future, do you plan to trim the stake a little more or you are currently happy at the current position?
Irakli Gilauri: We are happy with the current position. The only thing I don't know whether you follow this PFIC development that we had, and we had to trim a little bit off. So basically, that's kind of where we are, but we are happy with LFG holding. It continues to perform well. It's a very well-run bank. We have a very good geography and the economy. So...
Dmitry Vlasov: That's clear. Then the next one is on the Healthcare segment regarding the deal, which you've done. Obviously, the multiple is very good. My question is on the EBITDA impact for the 2026. I mean it's a small one, but just to double check whether you expect any near-term pressure on the EBITDA margin maybe in the first quarter or the second quarter of 2026 or you don't expect any of that?
Irakli Gilauri: On Healthcare, we don't expect EBITDA margin pressure at all. We are actually expanding EBITDA margin, as you see, and we will continue to expand because we are adding more profitable services. We are making more efficient operations. I mean this is kind of a small acquisition, but it gives you a flavor at what prices we have the appetite to invest, allocate the capital. And basically, I think that will a little bit of helps to grow the business and grow the profitability, generate more cash, and that's what we are for here.
Dmitry Vlasov: Understood. That's very clear. And the last one is on Armenia in pharmacy business. If you could give me an update about the current market share and how it developed over the last 12 months. It's quite an attractive market.
Irakli Gilauri: I think it's better we have Tornike talking about that, our CEO of Pharmacy business. Tornike?
Tornike Nikolaishvili: So thank you for the question. So in Armenia, unfortunately, we don't count the market share because as we do in Georgia, it's transparent how the big companies are reporting their data, but it's not the case for Armenian market. So we don't have -- and the market also is very fragmented in Armenia. The key accounts as they are holding in Georgia around 90% of total market. It's very much fragmented in Armenia.
Operator: Now I will read out the question that we have in the question-and-answer panel. So the question comes from Eduardo Lopez. Congrats all Georgia Capital team. Here are some questions. On retail, can you give us more color in relation to strong wholesale growth and evolution of international expansion? And the second question is about the insurance. Could you give us an insight in the breakdown of growth volume and price, especially in P&C insurance? Could you also comment the evolution of reinsurance business and potential unit economics?
Irakli Gilauri: I think let's have Tornike and Giorgi answering these questions right.
Tornike Nikolaishvili: Thank you. So for wholesale, let me mention that the biggest impact for our wholesale business, such a big growth is the portfolio enhancement, in fact, which means that we have -- partially, we have additional new contracts for exclusive brands and products, which we are selling in wholesale in all channels. And the second part is that we opened for our existing portfolio, which we are selling before, let's say, exclusively in our retail. But now we opened that for big pharma key accounts and also pharma traditional trade as well. So that gave us a results there.
Unknown Executive: So I will answer the first question about the pricing. So the first question is about the pricing and mainly our actuaries and underwriters are looking at the portfolio analysis. So mainly last year and in Q3, we had a growth in corporate motor. So we adjusted the prices according to the loss ratios that we look at and we usually monitor the portfolios. So we are always pricing our products at market price and even more so a bit more than the market price because of the brand and because of our high NPS. So whenever there is a yellow flag from our actuaries, of course, we reprice the price, mainly it's in P&C, where we use the actuarial opinion in each line. As far as for the health insurance, of course, it's really in collaboration with the health care providers, health service providers. So -- and they are also adjusted annually or maybe even twice per annum because of the growing demand and utilization. So we see -- in health insurance, we see quite a big utilization because of the AI developed quite well. And this year, we had 2 adjustments because our patients usually ask ChatGPT -- ask AI tools and then they come directly to the doctors and ask for the prescription. So we need -- so utilization is growing, meaning that we need to adjust the prices. So we always have our hands on the pulls to keep the combined ratios at a healthy level. So we put the healthy portfolios in the middle of our working principles. So that's the first part. In terms of the international inward reinsurance, the development is really, really good. As you know, in Q2, our P&C business has been upgraded to the investment rating, and we became the first company in Georgia with the investment grading. Our announced strategy was there is that we will keep up to 10% of the total revenues at this point in the medium term for the inward reinsurance. And the good news is that we had a meeting with our reinsurance rate and they increased our inward reinsurance limit from USD 5 million to USD 15 million, and that's the recent development. So because of the prudent underwriting and the good healthy portfolios also in the inward reinsurance. So what we should expect is that we should expect the growth in inward reinsurance, but we'll take it really cautiously. We are learning the market. We are learning the region, but we really love this business to be presented in the region without any equity and using our treaties -- reinsurance treaties. So the first one is, yes, we will be developing. We will be increasing our portfolios, but cautiously, up to 10% of our total revenues. And the good development is that -- recent development is that our main partner, Hannover Re granted us increased -- tripled our inward reinsurance limit from USD 5 million to USD 15 million that's the recent development. So that is the answer.
Operator: So the next question comes from Ben. Ben, you can talk now.
Benjamin Maher: Can you hear me?
Irakli Gilauri: Yes, yes.
Benjamin Maher: I've got a few. The first one is on the capital return program. You -- this is obviously meant to run to the end of 2027, but you're tracking well ahead of that at the moment. So would you expect to announce another program next year possibly? That's my first question. The second question is just on acquisitions. So the acquisition of health care business, that seems to be positive and done at a good price. Should we expect bolt-on acquisitions and buybacks rather than larger M&A until the discount to NAV narrows? And then kind of related to that, what discount to NAV would buybacks no longer make sense for you guys? Just on the existing investments you have, do you expect to monetize any of these in the near term? Or is that more of an end 2026, 2027 event? And then my final question is just on the dividend guidance. So I saw that you upgraded it for this year, but I was just wondering to give us -- if you're able to give us any color for the dividend you expect in 2026 and beyond.
Irakli Gilauri: So let me start with the capital return program. Yes, we did say end of 2027. It seems like we are moving faster, and we may do in '26 announce a new one once we finish. But I don't want to make a new deadline. So far, we are working with 2027. And last program, you know that we did 1.5 years earlier, we finished 1.5 years earlier than originally anticipated. So let's see how we go about here. As you saw on the slide, we had a GEL 300 million -- only GEL 300 million will be left after we are done with $50 million buyback program. Now in terms of the healthcare acquisition and the expectations about the investments, basically, we always said that we are running very simple capital allocation strategy. If we can find somebody with cheaper than GCAP, we'll buy it. So before, when we were running at 50%, 60% NAV discount, it was impossible to find anything. So now we did -- and we were only doing the buybacks. Now that it decreased the NAV discount is at 32%, we could have -- we found some things, not a lot, but some things we did find. So we don't expect to find many at 32% discount to NAV. So we may find from time to time some acquisition opportunities, which we will pursue. And it will be a very simple, can we buy this company cheaper than we can buy the [indiscernible]? It's a very simple question we need to answer every time we make an investment. So we found in health care and we bought it. And we don't expect to find a lot at the 32% plus discount to the fair price. [indiscernible] at this discount level. Once we will be trading at a premium, then we probably will be investing more. So that's kind of a very simple approach. Regarding the monetizations, monetizations are not planned or et cetera. They are, in a way, it's periodic. And we see -- if we see the opportunity to sell, we do that. And we -- of course, we look at the GCAP discount levels. More discount closes down on GCAP share price, more difficult will be to sell and so it's easier to sell at a higher discount than a lower discount. So it's basically very simple straightforward capital allocation program we run. It is scientific, but there is some art involved in this as well. As it's not -- mathematically, you cannot really measure everything what is the investment in health care in the region versus the investing in GCAP, it's not dissimilar. So it has to be -- the GCAP investment is way better than the investing in the regions in health care. So basically, there is a lot of science, but we also use art there. In terms of the dividend outlook, so far, we did announce the 2026, what we are expecting, and we will announce '27 outlook towards the end of the Giorgi, our CFO correct me if I'm wrong, when we will be announcing the dividend outlook for '27.
Giorgi Alpaidze: So for '26, so we announced '25. So we will be announcing for '26 as we publish our fourth quarter numbers. But at the moment, we do expect that number to grow compared to 2025, Ben.
Benjamin Maher: Okay. Can I just ask one more quick question if we have time. Just again related to acquisitions. Given all the hard work you've been doing through buybacks to reduce the share count back down to before the merger level, I assume that going forward, you wouldn't expect to issue further shares to fund an acquisition? Or is that something that you still would look at potentially to try and finance another acquisition?
Irakli Gilauri: The buyback is not a hard work, to be honest, it's very simple work. We just don't work much. Actually, we just buy back. Buying something is hard work. You need to do due diligence, negotiation, et cetera. So we would rather do little and do the buybacks, to be honest. Sorry, I did not fully catch the question.
Benjamin Maher: No, that's fair enough. I'm just wondering if going forward, would you -- should we expect the share count to increase ever again? Or are you quite keen to keep it...
Irakli Gilauri: No, no. We don't like share count to increase. We like share count decreasing. No, I mean, our goal is to become a permanent capital vehicle, which is basically don't issue new capital and reinvest. So if we want to invest something somewhere, we need to sell something. And if we need to -- we can do the bridge, we can attract some bridge loans if we want to invest somewhere. But -- and then have a very clear path of repaying this loan. And so we have a very firm commitment of not increasing the number of shares. Contrary, we want to decrease. So we like the share count decreasing. We have our internal targets, how far down we want to go. It's actually 1 share. But so far, we are a long way to go -- we have a long way to go.
Operator: So next question comes from [indiscernible].
Unknown Analyst: Can you hear me?
Irakli Gilauri: Yes.
Unknown Analyst: Yes. I wrote my questions on chat as well, so I will just read them out. With regard to the Imedi litigation, given that it was stated that there was low perceived risk in the annual report of '24, I just wanted to ask, firstly, if you have an updated view on the other [ BGA ] litigation and what was mentioned in the pharma. And if you think more provisions might be needed there, if you have anything relevant to share?
Irakli Gilauri: No. At this stage, basically, we don't anticipate anything -- any provisions. We did have on NCC, the liquidity buffer on Imedi L, and we did have some provision to that Imedi L basically. But that unfortunately, it worked out that way. But at this stage, we don't see any need to provision anything else.
Unknown Analyst: Okay. And secondly, I mentioned the returns that you're putting up in the insurance segment is truly phenomenal. I just want to see if you think this is sustainable and how you strategize if so, to keep those returns? How is the market -- the Georgian insurance market looking overall? Is that above market level returns you're earning? Is it not? And yes, just some commentary around how the returns on equity can be so exceptional in your insurance business.
Irakli Gilauri: Giorgi, maybe you want...
Unknown Executive: Yes. I'll take the question. Yes. Thanks for the question. So to start with the first part, we've been producing the exceptional return on equity for the last 10 years. So we are outperforming the market twice for the last 10 years. So -- and it's not for 1 or last 2 years. For last 10 years, Aldagi has -- our P&C business has produced twice high ROEs than the market, meaning that our main principle and the approach is that we put in the middle, the disciplined underwriting. So we don't jump from one side to another. We follow our strategy that is a disciplined underwriting, meaning that we are very sure and the management is sure that the high ROEs and the profitability and the returns we provide is very sustainable because of the healthy loss ratios that we keep. And our strategy is to keep the loss ratios in the range of 85 -- from 85% to 87% in the medium term for the next 5 years. And we've been doing this for the last 10 years, meaning that even there -- the market is very fragmented. There are 3 main players, but the idea is that we don't dampen the prices. We follow our brand and we follow our underwriting. So meaning that we are not going -- the returns will be sustained for the last -- I mean, for coming years that we are really, really sure. The competition is quite high, but the main players, I mean, are 3. The rest are small. And yes, that's it mainly that allows us to keep the high returns with the exceptional. And we are the only company in Georgia, mainly keeping the big division of the actuaries. So we do not make any decision without the actuarial opinion, and they have the right to raise yellow and red flags and every decision made by the company is made by the recommendation of the actuaries. And we will keep and we will stick to the disciplined underwriting in the coming years.
Unknown Analyst: Okay. That's great. I mean the combination of growth and underwriting margin in your insurance business is truly spectacular. So congratulations. What's -- a quick follow-up maybe on that. What's the name of the 3 competitors or the 3 main players?
Unknown Executive: Yes, the main group, there are 3 main competitors as us. One -- is one us. The second is the Vienna Insurance Group. We only have one international player at this point present with the Vienna Insurance Group by 2 companies. And the third one is a Captive Insurance company which is owned by one of the banks. 100% -- mainly dependent -- mainly which is dependent on the bank portfolios.
Unknown Analyst: All right. And if I may, just a last final one. With regards to the whole PFIC situation, has there been any discussion around alternative solutions here? It just seems to me that Bank of Georgia can be very strongly argued to be your cheapest asset and your cheapest investment based on contribution to NAV. And then it seems this will be preventing monetization in other mature businesses, for example, health care, given that a big return of cash would prevent you to do buybacks or return that to shareholders, and you would again cross the PFIC limit by quite a lot. Just keen to hear if you have any comments and thoughts on this dynamic and if you explored other solutions.
Irakli Gilauri: So basically, we are -- to be honest, this -- the Bank of Georgia thing we had to fix it quickly because it nearly doubled from year-end. So basically, it has happened in such a short period of time. We didn't have anything else to fix that problem other than they trim the Bank of Georgia. So in 6 months when the share price nearly doubles, it's very difficult to come up with alternatives. I'd love to come up with alternatives. But at that point of time, we didn't have any alternative.
Unknown Analyst: Do you have any other alternatives going forward if -- given Bank of Georgia is still relatively lowly rated, if this would continue?
Irakli Gilauri: Basically, we are exploring [indiscernible]. I don't know, U.S.A. that overnight or in a couple of months, 3 months, it's not happening like that. You need time to monetize business in Georgia.
Giorgi Alpaidze: So [indiscernible], for example, as we grow our private portfolio as the assets on the private portfolio side grow, that is helping to keep the passive share of assets down when it comes to Bank of Georgia. For example, this acquisition, which is not yet complete, but the bolt-on in the health care business, it adds the asset base. It adds the land, it adds the building value, et cetera. That's positive for PFIC, for example.
Unknown Analyst: Yes, of course, of course. I'm just saying it seems like you're so far been selling your cheapest assets based on rating.
Giorgi Alpaidze: But at the same time, we've been buying back. That's why we had that one slide, which shows you that even when we are selling, when you look at it on a look-through basis, you still own same amount of -- or more amount of Bank of Georgia shares than what you own 3 years ago or 4 years ago, for example.
Unknown Analyst: No, of course. Yes, very clear.
Operator: Thank you, [indiscernible], for the interesting questions. We also have one question in our Q&A panel. The question comes from Barry Cohen. And the question is, what does the management think team think is the spread between the discount to NAV tightens enough where use of capital shifts to portfolio investments versus share repurchases?
Irakli Gilauri: I think we answered that question basically, it is as NAV discount gets lower, smaller, more investment opportunities come and will come to us. So that's kind of -- will be available for us to make an investment. So it's a process.
Operator: Perfect. And the last question that we have is from [indiscernible]. It seems like you took the slides out of the presentation regarding focusing on capital-light businesses versus capital intensive. And you also made a capital-intensive acquisition, albeit a cheap one. Is that is a sign of a change in strategy?
Irakli Gilauri: No, no, I don't know whether we took a slide off. It's a very good observation, but this slide should be -- should go back in there. I think that this acquisition was mostly opportunistic and it improves the exitability of the health care business. So basically, I mean, we don't -- we cannot say that we cannot invest -- if we invest that we improve the exit opportunity, why not? So no, we did not -- we are not changing our strategy. We are very much committed to the capital-light. And this acquisition was pretty much the, first of all, very small ticket size. Second, it was a bolt-on to our current business. And thirdly, it is improving the exit opportunity for our capital-heavy business basically.
Giorgi Alpaidze: And if I were to add just 2 things, and we didn't take out any slides, Bret, maybe it's in a different presentation. But one thing that's great about this bolt-on is it comes with no leverage. They have no debt, and we're buying this at less than 4x. You can imagine we can leverage this at 3x, and we only put down 1x as an equity. So as directly said, it was a very attractive structure in that sense. I don't know, over to you. Any more questions?
Operator: Yes. Thank you. Thanks, Giorgi. No, there are no pending questions currently. If some of you want to -- or have any questions, please do not hesitate to write it in a Q&A panel or raise your hands.
Irakli Gilauri: It seems like there are no further questions. Thanks for your time, and stay tuned for Q4 as we continue to deliver on the results -- great results. Thank you.